Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Patterson Companies fourth quarter fiscal 2010 earnings conference call. During today’s presentation, all participant lines are muted. Following the presentation, the conference will be opened for questions. (Operator instructions) This conference is being recorded today, May 20, 2010. I would now like to turn the conference over to our host, Scott Anderson, President and CEO. Please go ahead, sir.
Scott Anderson: Thank you, Alisha. Good morning and thanks for participating in our fourth quarter conference call. I am humbled to be doing my inaugural call as Patterson’s CEO, considering the two gentlemen who have preceded me in this role, Pete Frechette and Jim Wiltz, both outstanding leaders and change agents in the specialty distribution market. Let me begin by noting that joining me today is Steve Armstrong, our Executive Vice President and Chief Financial Officer. At the conclusion of our formal remarks, Steve and I will be pleased to take your questions. Since Regulation FD prohibits us from providing investors with any earnings guidance unless we release that information simultaneously, we’ve provided financial guidance for fiscal year 2011 in our press release earlier this morning. Our guidance is subject to a number of risks and uncertainties that could cause Patterson’s actual results to vary from our forecast. These risks and uncertainties are discussed in detail in our Annual Report on Form 10-K and other SEC filings, and we urge you to review this material. Consolidated sales rose 4% to $812.8 million in the fourth quarter of 2010. Internal growth accounted for 1% of our fourth quarter sales growth with acquisitions and foreign currency adjustments accounting for the balance. Fourth quarter earnings of $61.8 million or $0.52 per diluted share were up 15% from $54 million or $0.46 per diluted share in the fourth quarter of 2009. For the year, consolidated sales totaled $3.2 billion, up 5% from $3.1 billion in fiscal 2009. Net income for the year came to $212.3 million or $1.78 per diluted share, an increase of 6% from $199.6 million or $1.69 per diluted share in fiscal 2009. Patterson’s overall fourth quarter results generally reflect the impact of the nation’s slow economic recovery. This impact was particularly evident in the performance of our Patterson dental unit, which recorded sales growth of 3% to $527.3 million in the fourth quarter. Sales were affected by uneven patient demand for dental services that affected our consumables business, as well as by the hesitancy of practitioners to commit to new capital investments. However, we believe the dental market is stabilizing, and we are encouraged by some preliminary indications that the market may be starting to strengthen. For example, sales of digital imaging systems, including sensors, panoramic and combing units grew over 18% in the fourth quarter. Although a broadly based recovery of the dental market is expected to be gradual, we are taking a pro-active approach, having initiated new sales and marketing programs to stimulate sales in several product categories. This approach includes using our leadership in equipment technology to bolster our performance until the market recovers for basic equipment, including chairs, power units, and cabinetry. As evidenced by the robust sales growth of imaging products, dental practitioners are more willing at this time to invest in systems that offer a strong return on investment over a relatively short period. For this reason, we believe the outlook for many of our technology products remains promising. And while CEREC sales were off approximately 10% in the recent quarter, we strongly believe this product will be a significant contributor to the future of dentistry. In an economy, where selling capital goods has been a challenge, CEREC sales rose over 15% for the year, and we believe we should see similar growth in fiscal 2011. We believe Patterson is positioned to capture a significant share of the equipment business both basic and new technology that has been deferred during the past two years due to concerns about the economy. From an operational standpoint, I would also like to briefly review a number of recent developments at our dental operation. We extended Patterson’s exclusive distribution agreement for Schick digital x-ray products in the US and Canada to December 31, 2012. Schick, a wholly owned subsidiary of Sirona Dental Systems, is the acknowledged leader in digital sensor technology, which is one of the fastest growing segments in dentistry. Extending our exclusive agreement with Schick will enable us to continue providing the best digital x-ray solutions to dentists. As I mentioned last quarter, we are building a new 100,000 square foot state-of-the-art technology center that will replace our smaller current facility. The new centre will serve technology needs not only of dentist, but also veterinarians and physical and occupational therapists. We believe our customers will be embracing technology at a steadily growing pace, and our extended technology centre will enable Patterson to meet their needs. Turning now to Webster sales of our veterinarian unit increased 2% in the fourth quarter of fiscal 2010 to $162 million. We were generally pleased with Webster’s fourth-quarter performance, although revenues were affected by a shift in its sales mix towards agency sales of certain pharmaceuticals. This sales mix shift masked an increase in consumable sales that we believe would have been between 5% and 6% on a comparable basis. We also were encouraged by improved sales of veterinary equipment, equipment which constitutes a relatively small part, small but growing portion of Webster’s revenue stream, represents a key facet of Webster’s drive to expand and strengthen its value-added proposition. During the fourth quarter, Webster entered into an exclusive marketing agreement with VetSource, a leading North American provider of integrated pharmacy distribution services, including a home delivery capability. We believe that offering the VetSource solution further strengthens Webster’s value-added platform. We also made a minority equity investment in VetSource, but since we closed this transaction late in the quarter this transaction had virtually no impact on Webster’s fourth-quarter results. Finally, the integration of Columbus Serum Company, a large value-added distributor serving the mid-Atlantic and Midwestern markets that was acquired in October 2008 was completed by the end of fiscal 2010. Sales of Patterson Medical, our rehabilitation supply and equipment unit rose 18% in the fourth quarter to $103.5 million. Internally generated sales rose 4%, while the acquisitions of Mobilis Healthcare Group in April 2009 and Empi Therapy Solutions in June 2009 accounted for the balance of the fourth-quarter sales increase. These acquired units are continuing to meet our expectations and their integration is proceeding on schedule. Expenses related to these acquisitions continued to moderate in the fourth quarter. The overall rehabilitation market continued to firm in the fourth quarter, and we believe Patterson Medical continued to increase its share of the global rehabilitation market during this period. Reflecting the significant investments that were made in Patterson Medical over the past few years, we believe our rehabilitation business is positioned as a strong growth driver going forward. All in all, we believe Patterson Medical had an outstanding year, and we are excited about our future in this market. Regarding Patterson Medical’s future, we're continuing to identify and evaluate additional acquisition opportunities for this business. I should add that our need to retain infrastructure in acquired entities will diminish given the investments we have already made in this business. This should allow us to integrate acquisitions faster and with less disruption to our operating metrics. Before turning to our financial guidance for fiscal 2011, I would like to briefly review our capital allocation strategy. As previously announced, our board of directors approved initiating a quarterly cash dividend of $0.10 per share in March, and the first dividend was paid on April 20 to shareholders of record at the close of business on April 2. Acquisitions and other critical investments in our three businesses will remain a top priority for our cash, and we believe that our earnings potential, strong financial condition and substantial operating cash flows provide the financial flexibility required to support both a dividend program and continued business investment. Also, as part of our capital allocation strategy approximately 6 million common shares remain available under our previously authorized 25 million share repurchase program. We intend to use this authorization to repurchase an equivalent number of shares as are issued under our employee share plans in order to maintain a relatively constant number of outstanding shares. As we stated in this morning's release, we're forecasting earnings of $1.89 to $1.99 per diluted share for fiscal 2011. It should be noted that the first quarter of fiscal year includes one additional selling week, due to our 52-week, 53-week fiscal year convention. As we begin this decade with new leadership, we remain very optimistic about Patterson's future. Our three businesses have strong sustainable competitive advantages, driven by talented and highly motivated employees. We are generating substantial operating cash flows, providing us with ample resources for supporting our various growth initiatives. And the overall health of our three markets is gradually strengthening and all have compelling long-term growth drivers. Thank you and now, Steve Armstrong will review some operational highlights from our fourth-quarter performance.
Steve Armstrong: Thank you. Scott. I want to begin my comments with a brief review of our gross margins. Consolidated gross margin improved 90 basis points this quarter, primarily as a result of improvements at the medical and veterinary segments. Our gross margin also benefited from medical’s higher revenue growth rate, hence resulting in favorable impact on our consolidated gross margin mix. In analyzing these margins, the improvements are generally as a result of period specific items such as rebates, and going forward we would expect fiscal 2011 consolidated gross margins to be more in line with our annual results. Conversely, our operating expense ratio in the quarter is higher than we would expect to see going forward due to incentive compensation expense earned this year compared to last year. We are expecting to see improvements in our expense leverage in fiscal 2011. Since, as Scott noted, 2011 will be a 53 week year, and this generally allows the capture of more operating leverage in these periods. Turning to operating margins by segment, the dental margin was 12.9% for the quarter. The veterinary and medical segments reported operating margins of 7.1% and 16.7% respectively. In the quarter tax expense benefited from the dividends paid on the shares held by our employee stock ownership trust. This portion of the dividend is deductible on our income tax return. This benefit along with several other discreet items accounts for the majority of the decrease in the tax rates between the periods. As we look to fiscal 2011, we expect the tax rate in the mid-37% range. Looking now at our cash flow, we generated approximately $112 million from operations in the quarter, compared to $54 million in the prior year. As many of you know, we made the decision to invest in various financing promotions to support marketing efforts directed at the CEREC product line beginning in the second quarter of our fiscal 2009. These promotions ran through the close of the fiscal year, and were used to a lesser degree in fiscal 2010. At this year and, we held approximately $62 million of finance contracts, arising from the fiscal 2010 promotions that we could not immediately sell to our funding sources due to certain requirements in our arrangements with these entities. We expect to liquidate the majority of these contracts in the first quarter of fiscal 2011, and should see an incremental impact on our operating cash flow from the sale of these contracts in that period. A couple of notes on our balance sheet, our DSO stood at 44 days similar to the prior year end and again excluding the finance contracts just discussed. Our inventory turns improved to 7.1, up from 6.8 one year ago. Looking ahead to fiscal 2011, we expect our CapEx to approximate $35 million to $40 million, while depreciation and amortization should be in the vicinity of $40 million. The CapEx includes the new technology center, and the build out of the new South Bend distribution centre. With that, I'll turn it back to our operator who will poll you for your questions. Alisha?
Operator: (Operator instructions) And our first question comes from the line of John Kreger with William Blair. Please go ahead.
John Kreger - William Blair: Hi, thanks very much. Steve, the margin rundown that you just gave us a few minutes ago, the vet segment seemed awfully high. Is that a number that you think you can hold as you move through fiscal ’11?
Steve Armstrong: Hi, John. I misspoke, it is actually supposed to be 7.7%. I think I said 7.1%. So, it is even higher.
John Kreger - William Blair: Very nice.
Steve Armstrong: I don't think we will hold it at that level. Typically our fourth fiscal quarter, John, is the strong quarter for them. We get some pretty good liftoff of their revenues as vets are stocking for the summer months. But I think you are going to see a nice improvement in that division as we go through fiscal 2011.
John Kreger - William Blair: Great. And then a second related question about that – this shift from traditional buy-sell agency and some of the categories, do you view that as neutral to the bottom line. I know that it helps margins, but is that a neutral to the bottom line or do you think you are actually perhaps gaining a little bit of share in that category?
Steve Armstrong: Well, I think if you look at the performance in the quarter, we believe we gained a nice share in that category if you kind of go back to dosages. But as part of your question on how does it affect the operating metrics, it is probably more neutral to the operating line as you move order by sale type of revenues and into agency commission revenues. It obviously affects the top line, but its impact on the bottom is probably more neutral.
John Kreger - William Blair: Great, thanks. And then just finally Scott, I think last call you gave us some broader thoughts about where you thought each segment could grow in the coming year. Now that a few months have passed, any updates to those metrics, are you feeling more or less comfortable with those ranges?
Scott Anderson: I think we feel comfortable with them John, with the caveat that we are still operating in a fairly tough economic environment. But we definitely feel in all three markets that the worst is behind, but I would just say that we're running the business in a very cautious way here at the end of the fiscal year, and hoping to build on the improvements of the economy. I think, all in all we feel very confident in our future.
John Kreger - William Blair: Excellent. Thank you.
Operator: Thank you. Our next question comes from the line of Larry Marsh with Barclays Capital. Please go ahead.
Larry Marsh - Barclays Capital: Thanks, and good morning Scott and Steve. A couple of questions, first on your view of the equipment market, Scott, obviously 10% down on CEREC is pretty consistent with what I would have thought given your kind of you are between promotions. Elaborate a little bit on two things if you could, one, are you confident early on in the trade up program that was kicked off in May, confirmed kind of your goals of how you sort of see that playing out, and along with that, you know, other data points that would give you confidence in the kind of growth you are suggesting in that category for fiscal ’11 relative to a strong fiscal ’10?
Scott Anderson: Great. You know, first, I think we are never completely satisfied, but then we're up against tough comparable in CEREC a year ago. We have just started rolling with the launch of the AC Bluecam, and had a very aggressive finance promotion. Our confidence in CEREC, and let us start with the trade up program, is we would like to see that be as at least as successful as our last trade up program a year ago. We think the market acceptance of the AC Bluecam has been very strong, and we have a large pool of CEREC customers that are out there that still need to be upgraded. So, I think the data points are still little bit too early. We're only three or four weeks into our fiscal year activity side, but I wouldn't give you more than that right now. In terms of confidence in CEREC going forward, you know, the things I look at is we now have over 11,000 users in North America. You have seen Sirona as a partner continue to invest in research and development and really push the envelope of the technology, things like the Galileo’s integration are all compelling reasons for the dentists of tomorrow to get into this technology. And I think, as we have talked quite a bit the next generation of dentists are going to embrace technology in a very real way, and we think CEREC is right in the middle of that game. So we think 15% growth this year is extremely doable and given an improving economy, hopefully that will be a low number.
Larry Marsh - Barclays Capital: I assume that is your confidence that your partner here will continue to invest and expand its applications for that product as you move into beginning of calendar ’11?
Scott Anderson: And I think our trust in Sirona, and the fact that we can see into their pipeline occasionally, we feel very comfortable we have got a great partner in dental [ph] technology.
Larry Marsh - Barclays Capital: Okay, great. Second question, maybe if I could elaborate a little bit on the impact on the extra week. I know you don't break this down too specifically, but Steve you talked about little bit of expense leverage especially in the first quarter, how do we think of that, and we could sort of understand what that might mean in revenues. But how do you think about it in terms of how you accrue expenses, and what sort of impact it might have in Q1, and the full-year relative to say this last year?
Steve Armstrong: Okay. Well, the first qualifier, the caution I would put out on the extra week is, it is much like a retailer in the sense that you have got five extra selling days. But most of the impact on revenue comes mostly in the consumable side of the business, not so much in the capital and services. Only you get a little bit there. It is much more difficult to quantify. The impact to the bottom line or to the operating line, you are correct we do get some and should get some lift just from the increased revenues with the fixed cost structure. But again a lot of the cost structure is not totally fixed, and so even you are going to have an extra week of compensation expense in there in many cases, you are going to have warehousing cost and so forth, incremental warehousing cost. So the leverage starts to, you don't get it, if not totally a variable incremental benefit at the operating line, so be cautious with it. We see it generally is about $0.02 to $0.04 in our best estimates of what the impact might be to the bottom line.
Larry Marsh - Barclays Capital: Got it. And again that would show up all in Q1 relative to last year because of where it shows up?
Steve Armstrong: Generally yes.
Larry Marsh - Barclays Capital: Okay. And then along with that, I know John asked about sort of the margin direction in that being a bit more bullish there, can you elaborate a little bit about sort of how you are thinking about general levels of margin direction both in dental and rehab this year?
Scott Anderson: You know, I think – let me start with dental. I think dental is probably the one we are most cautious about Larry. And some opportunity to expand that system, its margin percentage is probably going to be more limited. With regard to that we typically look at that business with its opportunities probably in the 40 to 60 basis point margin expansion for that one.
Larry Marsh - Barclays Capital: I am sorry, tell me again on rehab?
Scott Anderson: 40 to 60 basis points on that and probably the same on the medical businesses.
Larry Marsh - Barclays Capital: Okay, I got it. And then finally on the VetSource, have you identified, if you have taken a minority interest, how are you going to account for that and what sort of – how do we think about impact I guess from the profit standpoint, and then how do we think about the loss of the Bayer relationship, given your determination to drop that.
Steve Armstrong: Let me take the accounting side and turn it over to Scott on the Bayer decision. The accounting will pick that up as an equity investment, Larry, so you will see it come through near the bottom of the operating statement. We will pick up a percentage of it. We are not expecting it to have a huge impact in fiscal ’11. It will be a roll-out year, so it will be fairly nominal. The opportunity is obviously – this program is a series of capabilities that we can take into the vet office, are accepted by the vet market and we believe they are, we wouldn’t have made – there will be or we wouldn't have made the investment. That is really where the benefit comes from down the road.
Larry Marsh - Barclays Capital: And then Bayer?
Scott Anderson: And then following up, and let me just talk a little bit about VetSource, because we see that as maybe timing into the Bayer decision a little bit as well, is the strategy of Webster is really driven around protecting and growing revenue streams through our customers’ office. And with VetSource we think we can see increased pet owner compliance on products such as flea and tick, and also help the veterinarian obviously keep more of those revenues in their operation and not through a retail outlet. So the decision on Bayer really mirrors that strategy that led to our equity investment in VetSource, and we feel very comfortable with the decision and don't see it as having a real material impact, and we think it really strengthens our position with our customer. And only time will tell how Webster executes on that, but we are confident that we have made the right decision for the profession and for Webster.
Larry Marsh - Barclays Capital: Pretty good. Thanks.
Operator: Thank you. Our next question comes from the line of Derek Leckow with Barrington Research. Please go ahead.
Derek Leckow - Barrington Research: Hi, thank you. Just wanted to get some more color on the equipment commentary, especially the outlook there, as it relates to the basic equipment. Any other anecdotal information you can share with us about any of your customers’ plans for increasing investment in that category, and also what was the sort of category growth in the quarter?
Scott Anderson: Sure. I will give you the anecdotes first, Derek, and then I will turn it over to Steve. He can give you the numbers. I think anecdotally and you know, I have spent some time in the last couple of months at some major conventions, and have spoken to quite a few customers and our salespeople, and I think we feel very confident that the worst is over in terms of basic equipment, and we really do have two years of pent-up demand and see the next year to two years as an opportunity, because our customers, the dentist, is probably in the strongest position they have ever been in terms of buying land, negotiating leases, things that go into major projects. So we are cautiously optimistic that we are going to start seeing growth on the basic side, and we have a lot of sales and marketing programs in focus on making sure we not only gain our share, but more than our share as that starts flushing through the pipeline. So, the dentist still has access to capital, interest rates are relatively low. I think as their books build in terms of patient flow, their confidence level increases, and we hope to see that business slowly build back to where it was a couple of years ago.
Steve Armstrong: As far as the growth rate Derek, it was basically a flat quarter. And the equipment business outside of CEREC, as Scott said, CEREC was down about 10% in the quarter.
Derek Leckow - Barrington Research: And then Steve, can you remind us looking at this on a sequential basis, maybe that might be helpful because you are seeing that downturn. We saw some pretty negative numbers earlier in the year, and just maybe you could remind us what that basic equipment was doing a couple of quarters ago, and where it is now, and it sounds like you are talking about growth for the basic category in your assumptions for 2011, is that true?
Steve Armstrong: That is true.
Derek Leckow - Barrington Research: All right.
Steve Armstrong: If you go back, as we’ve said in previous calls, I mean, if you get into the chair unit like cabinetry business…
Derek Leckow - Barrington Research: That is right, yes.
Steve Armstrong: It was pretty meager year until 2009. You were seeing rates pretty consistently down 20% to 25% each quarter in 2009. So, while we grandfathered that in this spring, in our fourth quarter, industry wide you are still seeing some of that same softness as we get into the early part of calendar 2010.
Derek Leckow - Barrington Research: Okay. So as the volume improves, it sounds like you have also got the sales and marketing couple of promotional items going on, but would it be your opinion that we will see gross margins for that equipment remain either as is or get better with the improved volume or what is your sense on margins on the equipment itself.
Steve Armstrong: Some of that is going to be mix driven Derek. More technology will tend to push the margins up a little bit depending again on the mix of technologies, softwares and that sort of thing. But I don't think you are going to see – we are not expecting our gross margins to change a lot in the equipment business. I would think if the market strengthens, and the stronger it gets and the faster it gets you will be able to hold the margins.
Derek Leckow - Barrington Research: Okay, good. And then just one final question switching over to the medical segment, you know, obviously acquisitions are a big part of the growth story there as well, and I wanted to know whether or not any of your current acquisition candidates are opportunities to maybe vertically integrate some product categories.
Scott Anderson: Yes, Derek. This is Scott. I think the medical space is an opportunity. We currently do, as you know vertically integrate in certain areas, and own some manufacturing, and under the right situations and the right areas, vertical integration on the medical side is an opportunity we see long-term.
Derek Leckow - Barrington Research: Is this still where we will see most of the activity in terms of your acquisition profile today?
Scott Anderson: I would say most of the opportunity currently is in the medical space and part of our challenge is to really work with Dave’s team to find the best opportunities first, but I would not say that you know, the activity has stopped in the other businesses. We feel we have opportunities across all three units.
Derek Leckow - Barrington Research: Okay, good. Thank you.
Operator: Thank you. (Operator instructions) And our next question comes from the line of Robert Willoughby with Banc of America/Merrill Lynch. Please go ahead.
Robert Willoughby - Banc of America/Merrill Lynch: Hi Steve, the earnings guidance you threw out, what does that assume for an outstanding share base for the year. Did you mention this?
Steve Armstrong: We didn’t mention it, but it will probably be around 120 million shares Bob.
Robert Willoughby - Banc of America/Merrill Lynch: That doesn’t imply much in the way of share repurchases. Can you explain what your philosophy on that front might be?
Steve Armstrong: Yes, I think Scott might have had some comments on it that we are basically going to try to keep the account as flat as possible for the year. But we’ll buy back enough shares to account for the internal program dilution that we have.
Robert Willoughby - Banc of America/Merrill Lynch: And given that $340 million in cash, you don’t feel a need to be a little bit more aggressive there, given some of the corrections here in the market?
Steve Armstrong: We always evaluate that strategy Bob on a going forward basis.
Robert Willoughby - Banc of America/Merrill Lynch: And may be related to that with some of the meltdown here, any changes in deal evaluations out there. Is it too soon to make any conclusions on that front, but given the correction where we have to see more or less from you from an M&A activity standpoint?
Scott Anderson: Yes, Bob this is Scott. I think it’s too soon to tell, but we think you know, a tougher economic environment will potentially be an advantage for us as valuations decrease, and we think we are in a very enviable position because of our financial strength to take advantage of opportunities across all three businesses, but I would say we haven’t seen that point yet in terms of valuations.
Robert Willoughby - Banc of America/Merrill Lynch: I guess my advice would be just take advantage of the stock price here of your own stock price, put some capital to work near-term while you are thinking about these [ph].
Scott Anderson: We appreciate the advice Bob.
Robert Willoughby - Banc of America/Merrill Lynch: That’s all I got. Thank you.
Scott Anderson: Thanks Bob.
Operator: Thank you. Our next question comes from the line of Jeff Johnson with Robert W. Baird. Please go ahead.
Jeff Johnson - Robert W. Baird: Thank you. Good morning guys.
Scott Anderson: Good morning.
Steve Armstrong: Hi Jeff.
Jeff Johnson - Robert W. Baird: I apologize. I’m standing outside here so hopefully the background noise isn’t too bad, but Scott I missed the first part of the call, I don’t know if you addressed it all, any imaging comments on the general equipment side. If you could add any color to that side of the business, and then last quarter I think you talked about adding some CEREC reps throughout fiscal ’11, still have plans to do that?
Scott Anderson: Yes, great Jeff. You know, in the early comments I talked about our imaging business constituting of censors, panoramic, digital x-ray and combing being up 18%. We had a nice quarter with Schick. We had a nice quarter on the combing side. So we feel real good about the portfolio of products we have. Another of our great partners, Planmeca, just got 5 to 10 K clearance on their ProMax cone beam machine, which lets us really play in that larger field of view category, and we think creates some nice synergies with Dolphin. So we definitely are very bullish on you know, the imaging business going forward as more and more dentists move away from film to digital products.
Jeff Johnson - Robert W. Baird: Great, and then…
Scott Anderson: (inaudible).
Jeff Johnson - Robert W. Baird: Just last quarter I think you had talked about adding some CEREC reps throughout this year. You still have plans to do that?
Scott Anderson: Yes, we do and we currently have our dental team has that in place. We expanded it by four reps in the last quarter, and we will continue to do that throughout the year to build up our CEREC sales force to take advantage of the opportunity we think that’s out there.
Jeff Johnson - Robert W. Baird: Great, and then on the consumable side if I could ask the question you know, you had a couple of things rolling off from an accounting standpoint that have been creating some headwinds there. The numbers stays relatively flat on an organic basis, I believe. You know, if you could just step back and kind of look at end-user demand, do you feel like volumes given that there is a little pricing right now, are volumes getting worse, are they stable, where do you think volumes just on merged demand in the dental side.
Scott Anderson: I think volumes have stabilized, but it is still as lumpy as we’ve ever seen itare the . Usually the sundries business across the entire industry is fairly easy to predict, and there are still some lumpiness in it but after you know, calendar year 2009, where you saw a contraction of maybe 5% for the industry in terms of unit volume, I think we feel comfortable that that contraction has stabilized and now we are at a point, but growing. But we’re cautious, you still have 10% unemployment, and it’s going to take a while to get to full employment in the US economy. So this sundries growth is going to be at a gradual pace over the coming years.
Jeff Johnson - Robert W. Baird: Understood, and then last two questions. Just to push you on one thing Scott, last quarter you had talked about the equipment market, the dental equipment market may be up, mid-to-upper single-digits in fiscal ’11, I think was kind of the brackets you put around that, and I know this question was already asked but you still feel comfortable even with that number?
Scott Anderson: Yes, I think we do. You know, and I would say so that you know, we’re coming off you know, probably the most horrific market for the industry in the last 60 years down 20% to 25%. So, I think those numbers are very realistic. I think our third quarter will be very important, when Dennis [ph] sits down with our tax accountants and look at investing you know, some money on capital to protect some tax income. So you know, we think it is still a very reasonable number.
Jeff Johnson - Robert W. Baird: Okay, and I’ve asked you this before, and I know the answer typically has been you know, wait until you officially assume your new role here, and some grass on that, but how do you view guidance, is guidance something you aspire ahead, is guidance something you aspire to be, just how do we think about your kind of vision on how you interact with the Street here?
Scott Anderson: I think our philosophy on guidance has not changed you know, going back to the way Pete ran the businesses. The guidance we give is our best estimate of where we think the business is going. So our philosophy on guidance has not changed at all, and we feel confident in the guidance we have given, and obviously there are mitigating circumstances on the upside and the downside that could happen in the economy, but I wouldn’t see any change philosophically in how Patterson Company gives guidance.
Jeff Johnson - Robert W. Baird: Okay, and then Steve just final question for you. You know, you made some comments or both of you have made some comments here on the rehab side that would make it sound like the M&A pipeline there is relatively full. You know, do those deals tend to be or is the thought on your end typically a neutral feel to accretive in the first year or would you take on dilutive below than that based over the first year.
Scott Anderson: Give me your definition of diluted, are you talking about absolute or…
Jeff Johnson - Robert W. Baird: Ex any kind of restructuring charges and you know, inventory step ups and things like that.
Scott Anderson: First of all we don’t live on restructuring charges here at Patterson. We swallow our medicine as we are given it, but generally when we look at our acquisitions we’ve always said that we try to make them accretive, means the positive contributions are neutral to the bottom line in the year we do them, but it doesn’t have to be an absolute. We will do a dilutive acquisition at the bottom line if we think it makes sense long-term for the business. As you know, our numbers reflect – some of metrics do suffer in the near term as we do acquisitions because of some of the amortization and absorbing the infrastructure costs of those acquisitions. As Scott said, we particularly in the medical space we’ve had to add the infrastructure over the last several years as we’ve done acquisitions and (inaudible) for our metrics. We are to a point now where we think there’s going to be less of that going forward and most of the acquisitions that you would see in dental and vet going forward, would be pretty much tuck ins. They would be fairly quick. We don’t need much in the way of infrastructure. So it will be acquiring sales people and customer relationships in those two businesses.
Jeff Johnson - Robert W. Baird: All right, thanks guys. That’s all I have.
Operator: Thank you. (Operator instructions) And our next question comes from the line of Steve Sinclair [ph] with UBS. Please go ahead.
Steve Sinclair - UBS: Hi thanks. Yes, I missed part of the call too. So I apologize if you covered this, but in the midpoint of the EPS guidance, this suggests EPS growth in the 9% range with the extra week, and again if you covered this, I apologize. But did you quantify how much the extra week is, you know, specifically adding to the EPS growth or even just you know, the overall EPS you know, within the guidance.
Steve Armstrong: Steve, this is Steve Armstrong. We kind of touched on a little bit in some of the early questions, but if you look at the extra week, it’s generally at somewhere between $0.02 and $0.04 to the bottom line. It is very difficult for us to quantify and measure it down at the operating or the bottom line, but you know, if you kind of do it in broad strokes and take a reasonable look at it, it’s probably $0.02 to $0.04.
Steve Sinclair - UBS: Okay, so I guess part two to the question then, again I know if you have kind of touched on this subject later on in the Q&A here but you know, given what that would imply then for a normalized growth for the year relative to your you know, comments that I thought were fairly, actually pretty bullish overall in terms of your view of the overall dental market with some of the comments you made last quarter. I mean, I would – I guess kind of personally view this guidance as being on the conservative end, when thinking about what this means for you know, growth on your P&L relative to what your comments were about the overall dental market growth. So are there other factors then like in the guidance that we’re missing. I know you gave some of the margin assumptions and everything else, that just seems like ultimately EPS growth you know, could be higher just based on some of the comments you made about your view for the, maybe overall US dental market for the full-year. Any color you want to add to that?
Scott Anderson: Yes, Steve, this is Scott. You know, I think you know, I would caution you a little bit, and when we talked – the bullish comments probably relate to dental equipment which is coming off some very low comparables, and you have to remember you know, a third of the entire company, Patterson Companies is dental consumables, and that is a market that is going to be very slow to recover as unemployment unwinds. So you know, I think you know, if we talk about upsides and downsides, the upsides to guidance would be, you know, maybe a strengthening in the dental market a little sooner than we have thought and the consumable business coming back a little faster would lead to a potential for upside, but I think we’re pretty comfortable with everything we see in the landscape right now with that 194 midpoint.
Steve Sinclair - UBS: Okay, got it. Okay, thanks.
Operator: Thank you. Our next question comes from the line of AJ Rice with Susquehanna Financial Group. Please go ahead.
AJ Rice - Susquehanna Financial Group: Hi, thanks a lot everybody. Maybe one very specific question, then a couple of broader ones, the D&A sequentially looks like it stepped up a little bit. Was there anything unusual in the fourth quarter’s depreciation and amortization?
Steve Armstrong: No, not really other than we’re starting to take grandfather [ph] in some of the investments we’ve made in real estate TC structures and so forth, and that’s going to have some impact. You’ve also got some of the acquisition impact, and then of course, as we go forward, if the CEREC business continues to grow the way we expect it to, you are going to see more amortization on the $100 million marketing agreement we signed with them.
AJ Rice - Susquehanna Financial Group: I guess, if I got you down right Steve, you said it would be about $40 million for D&A for the year ahead. I guess that would imply a lower run rate than we saw in the fourth quarter I guess. Maybe the broader questions, on you know, just talk about the fact that you have deferrals of basic equipment purchase for the last two years. I know you get a window on maintenance of that basic equipment in the dentist’s office. Can you give us any sense of whether you’ve seen maintenance levels pickup because people have been differing purchases and older equipments having more problems, is there any of that dynamic going on at this point?
Steve Armstrong: You know, I think one of the strengths of our dental unit is our technical service force and you know, there is no doubt that you know, we’re seeing people maybe, you know, fix things instead of buy but you know, even though the business is down, I would say the majority of the reason the business is down AJ is new projects, expanding new offices, remodels. You know, we’re still seeing you know, dentists purchase new chairs to replace old chairs that are broken. So while there is maybe some fix it mentality out there, I don’t think it’s as big a driving metric as the overall large project part of the basic equipment business.
AJ Rice - Susquehanna Financial Group: Okay. If you look at your, now in the press release you talk about being proactive in your sales and marketing approach as you start to see it turn here, if you look at your aggregate spending for promotional activities, sales and marketing for the year ahead versus ’09 and 2010. Is there any let up that we can look forward to and the need for promotional activity perhaps as the economy starts to rebound and how might that be factored in if there is any in the guidance.
Steve Armstrong: I don’t think it’s anything material in the guidance. I would say just speaking in broad terms when you – the economy improves, obviously, one of the things we’re doing on the CEREC side is we’re – we'll always aggressively promote the product and we have for the 10 plus years we’ve held the exclusive, but last year we did some unique things in terms of financing that we felt were sort of one-time shots in a way uncertain economic time. You know, I’m more concerned about the effectiveness of the marketing spend than the overall dollars, because we’ll never you know, we’re never going to spend a ton of money on marketing here at Patterson.
AJ Rice - Susquehanna Financial Group: Okay, and then just last question, maybe, on your market commentary on the vet side, obviously there was significant consolidation in that space earlier this year. Now we’ve had a few months where it’s been in place, can you comment on how that you know, see they are presented, any opportunities or challenges for you as a player in that space?
Scott Anderson: I think we look at it as a long-term opportunity. You now have three major strategic long-term players in this space, and I think that would bring stability to that industry and we’ll all compete like crazy for the minds and hearts of the vet. I would see the consolidation on the distribution side to be a net positive, very similar to what we’ve seen in the dental side over the last 10 years.
AJ Rice - Susquehanna Financial Group: Okay, thanks a lot.
Operator: Thank you (Operator instructions) And I show no further questions at this time. I’d like to turn the conference back to management for closing remarks.
Scott Anderson: Thanks Alisha. Thanks everyone for your interest in Patterson Companies today. We look forward to talking with you in a few months at the conclusion of our first quarter.
Operator: Ladies and gentlemen, this concludes the Patterson Companies fourth quarter fiscal 2010 earnings conference call. If you would like to listen to a replay of today’s conference please dial 1-303-590-3030, and enter the access code of 430-1441 followed by the pound sign. Thank you for your participation. You may now disconnect.